Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:03 Good day and welcome to the WW International Fourth Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. 00:34 I would now like to turn the conference over to Corey Kinger, Investor Relations. Please go ahead. Corey Kinger 00:41 Thank you everyone for joining us today for WW International's fourth quarter and full year 2021 conference call. At about 04:00 PM Eastern Time today we issued a press release reporting our fourth quarter and full year 2021 results. 00:55 The purpose of this call is to provide investors with some further details regarding the company's financial results as well as to provide a general update on the progress. The press release is available on the company's corporate website located at corporate.ww.com. Supplemental investor materials are also available on the company's corporate website in the Investors section under Presentations & Events. 01:18 Reconciliations of non-GAAP measures disclosed on this conference call to the most directly comparable GAAP financial measures are also available as part of the press release. 01:28 Before we begin, let me remind everyone that this call will contain forward-looking statements. Investors should be aware that any forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company's filings with the Securities and Exchange Commission. Please refer to these filings for a more detailed discussion of forward-looking statements and the risks and uncertainties of such statements. All forward-looking statements are made as of today and except as required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. 02:10 Joining today's call are Mindy Grossman, President and CEO; Nick Hotchkin, COO; and Amy O'Keefe, CFO. 02:17 I will now turn the call over to Mindy. Mindy Grossman 02:15 Thank you, Corey, and good afternoon everyone. I would like to start by speaking to last week's announcement that Sima Sistani will be joining WW as our new CEO as of March 21. Sima has a strong background at the intersection of media and technology and has a track record of building powerful digital community. Sima is the Founder and CEO at Houseparty, a face-to-face synchronous social network and community focused on bringing support and emphasis online communication. Under her leadership, it grew into a community of over 150 million users. And in 2019, she led the sale of the brand to Epic Games, where she served as the Senior Executive leading social gameplay and feature development for their gaming products, including Fortnite. She also held leadership positions at both Yahoo Mobile and Tumbler. I've known Sima for over 2 years and feel she is the right individual to lead WW. She is a visionary and entrepreneur and inspired leader. Her proven track in building and scaling businesses; her ability to innovate; her depth of experience in product, technology, digital community building; and her passion drive and focus on purpose so aligns with the WW mission and business. She is also a health and wellness enthusiasts and proud WW member. I know that she is excited to be leading the team through the next phase of growth for the brand and the business. 04:06 Now turning to our 2021 results and PersonalPoints launch. Looking back, in many ways 2021 was unusual year with consumers undergoing several shifts in sentiment and behavior. Through these changes, we maintained rigorous prioritization as we accelerated our digital transformation by developing and launching our numerous Food Program Innovation, PersonalPoints, creating an entirely new coaching and content experience in Digital 360, enhancing our e-commerce experience and product portfolio and investing for the future in healthcare and diabetes. 04:49 At the start of 2021, myWW+, our first non-food innovation, delivering a more interactive and personalized app experience than ever before, accelerated our digital performance last winter. This strong performance at the beginning of the year was difficult to sustain as consumer sentiment shifted during the next phase of the COVID-19 environment as evidenced by industry wide declines in traffic and search trends for digital weight-loss programs beginning in Q2. At the same time, we were actively managing the COVID-related impact on our workshops business, with subscriber levels being reduced to approximately half of pre-COVID levels. This created a significant subscriber and revenue headwind throughout 2021. 05:46 We ended 2021 with 4.2 million subscribers. End of period digital subscribers were 3.4 million, down 7% year-over-year and end of period workshops subscribers were 727,000, up 1% versus 2020, but down 42% versus year-end 2019. Throughout the entire year, our cross-functional teams were relentlessly focused on the development of PersonalPoints and its successful launch in November. PersonalPoints is an important step in our multi-year personalization journey. I again would like to thank our dedicated employees for bringing this innovation to life in a seamless synchronous launch to more than 4 million members across 12 different countries and in 7 languages. 06:43 Our winter 2022 marketing campaign amplified PersonalPoints. With the broad suite of assets to drive connection interest in action, including motivational and entertaining ads featuring Oprah Winfrey and James Corden, as well as utilization of over 500 unique digital assets. It was also gratifying to see WW recognized for program effectiveness and digital innovation leadership 7:03 In January, WW’s weight loss leadership was recognized once again by U.S. News & World Report Health Experts in their 2022 Best Diets Ranking. WW retains a number 1 spot for both best diet for weight loss and best diet program for the 12th consecutive year. We also received high marks in the categories of best diet overall, easiest diet to follow, best diet for healthy eating and best diet for fast weight loss. 07:47 In addition, Digital 360 was recently selected as a Good Housekeeping 2022 Fitness Awards winner, being named Good Housekeeping’s App Choice Best for Building Habits. These accolades further build on the evidence that WW works, delivering solutions and fit members lives and provide a livable path to sustainable weight management and healthy living. The need for proven, sustainable and accessible weight loss and wellness solutions is more important today than ever before. And in a world, where digital has accelerated and technology has been an enabler, we are all still craving physical interaction and human connection. That’s why WW has such an important valuable role as people are looking for science-backed community and coaching from a brand they trust. 08:42 I am confident that the company under the leadership of Sima will continue to innovate, be obsessed with data and focus on the critical priorities that will advance the business, support our members and expand WW’s impact around the world. 08:58 I will now turn the call over to Nick to discuss our current performance and our go-forward strategy in more detail.
Nick Hotchkin: 09:08 Thanks Mindy. Let me echo how excited I am to welcome Sima as our new CEO. Her strong digital experience, along with her passion for our mission and her insights and perspectives into community building will be invaluable to WW. 09:26 Now, I'd like to discuss our winter season performance and our key focus areas to improve our business trajectory in a challenging environment. Our sign-up trends improved markedly since the launch of PersonalPoints. Member recruitment is down year-over-year so far in 2022, with similar substations declines in both digital and workshops. 09:51 As of February 19, subscribers were 4.5 million, up approximately 9% from year-end 2021. However, this lift is significantly below increases in prior food program innovation years. Importantly, overall retention continues to be strong at about 10.5 months and we are now seeing early signs that workshop retention is starting to rebound from COVID impacted levels. 10:11 While the Omicron spike significantly impacted our results, we are examining all aspects of our business to drive performance improvements. Our members have validated that we have a strong food program innovation in PersonalPoints. However, from our recent research there are also some clear takeaways on the current consumer mindset and their motivation to start a weight loss program. 10:51 While consumers acknowledge the intent to lose weight, they are telling us that they are not motivated to commit to significant changes, instead many are looking for easy method’s, small steps and personal support. Therefore it's imperative for the WW digital experience to be easy and intuitive, backed by science and with access to community and coaching. These insights are driving both our spring marketing approach, and we'll continue to inform our product development priorities and agenda. We are intensely focused on optimizing all aspects of our marketing. While traffic across our consumer touch points has been lower versus prior years, our global marketing and data analytics teams are doing outstanding work in driving sign-up conversion and maximizing ROI and marketing spend. 11:50 In the US, this performance marketing approach delivered a 15% increase in conversion year-over-year during the first 7 weeks of the year, although offset by a significant drop in traffic. We will continue to invest in our performance marketing capabilities to ensure that we are making real time data-influenced decisions to drive site conversion. As always, we are highly focused on price realization and maximizing the subscription LTV. This winter season, we have introduced a number of creative offers that are rooted in urgency and offer the best value for longer tenured commitment plans. These have been successful with over 70% of our US sign ups in January choosing a 6-month or longer plan, up from about 50% a year ago. 12:48 We have made significant strides in our digital experience over the last 6 years as demonstrated by our 4.8 star rated app and numerous awards. However, we will continue to evolve our experience. To focus on personalization and ease, and at the same time bringing more coaching and community into our digital experience. And in our first year of offering Digital 360, we gained valuable insights on how we can deliver coaching, content and community in new ways. Member engagement, community building and the personalized experience are key elements of both member success and continued expansion of retention. 13:34 As demand for in-person workshops did not pick up in January, we are actively assessing our cost structure and optimal mix of leased studios and flexible third party locations. We believe in the power of in-person community and accountability and the differentiation it delivers for members looking for that high touch experience. We are focused on delivering the experience and availability our members demand, while balancing the fixed and variable costs in order to return workshops to being a 40% gross margin business. 14:13 In the US market, we currently have a footprint of 430 WW branded studios and 650 studio apps or third-party locations. While COVID severely impacted our workshop business, we are positioned to be able to flex and manage growth as the environment opens up and people want to once again have the interest and supports of coaches and the WW community. I'm excited by the opportunity for WW to build a diabetes business. For the first time WW members who indicate they have diabetes receive a food plan specifically tailored for their unique food needs. And just 3 months since launch 6% of US members are now self-reported as people living with diabetes, compared to the 12% prevalence of diabetes among adults who are overweight or obese, demonstrating the incremental opportunity of serving this important segments. We plan to introduce a dedicated WW offering complete for the content, coaching and community, specifically designed for people with diabetes later this year. 15:30 Turning to our consumer products business. We have essentially rebuilt our e-commerce business from scratch during the last 2 years, growing it from a $22 million revenue business in 2019 to $85 million in 2021. We are focused on further expanding this important channel for incremental revenues by increasing member penetration, the frequency of repeat orders and transaction value. Through product bundling, SKU expansion, particularly via our marketplace and dropship partner, licensing and in-studio and multi-channel opportunities we aim to enhance and expand our consumer products business. As we grow this business, our teams are conducting a thorough review of our supply chain opportunities, demand planning, volume commitments and new product development process to preserve and expand margins as we profitably grow this business. 16:32 It's an important time to act with urgency, prioritizing and simplifying our key initiatives. Dedicating resources, time and talents and what is critical and presents the best return on investment. Given the uncertainty of the impairment, we continue to analyze and assess all areas of the business, our revenue opportunities and our cost structure. I look forward to working with Sima when she joins later this month, and I'm sure we will have more to say on this during our Q1 call in May. 17:07 I'll now turn the call over to Amy to review our financial performance and outlook.
Amy O'Keefe: 17:13 Thank you, Nick. We closed out Q4 with performance within the range of our most recent guidance. Category demand and traffic continue to be a challenge for us in the quarter, resulting in modest pressure on revenue. The impact of which was more than offset by strong gross margin and lower marketing spend. 17:35 For the full year 2021 we ended the year with 4.2 million subscribers, down 6% from the prior year and in line with 2019. Workshop end of period subscribers was 27,000 or up 1% year-over-year, but down approximately 50% from pre-pandemic levels. Digital end of period subscribers, including 222,000 D-360 subscribers were $3.4 million, down 7%. Revenue of $1.21 billion was down 12% year-over-year, driven by a 38% decline in workshop revenue. Digital revenue was $788 million or 65% of total revenue, was up 6%. While e-commerce revenue was up 10% year-over-year, total consumer products revenue of $117 million was down 11% as in-studio product sales continue to be down significantly. 18:42 Adjusted gross margin of 61.2% is up 300 basis points from the prior year, primarily driven by a combination of digital mix and fixed cost structure adjustments over the course of the year. Full-year marketing spend was flat to the prior year, while G&A was up $9 million on an adjusted basis, mostly related to temporary salary reductions in 2020. Adjusted operating income of $216 million is in the middle of the guidance range, but down 24% versus the prior year, driven almost entirely by volume declines. 19:25 2021 GAAP EPS of $0.95 was below prior year by $0.13. Note that, 2021 GAAP EPS reflected the $0.42 negative impact from one-time items. Related to cash flow and leverage, ending cash of $154 million is net of $52.5 million of voluntary prepayments on the term loan in December, operating cash flow of $157 million for the year remains strong with $175 million of revolver capacity. We ended the year at 4.5 times net debt leverage, which increased modestly from Q3. 20:10 Looking forward to 2022, we will not be providing full year guidance today. We are continuing to evaluate consumer sentiment and the full year impact of current trends on the business. And, of course, awaiting Sima’s arrival. However, we will discuss how Q1 is shaping up. While we saw a meaningful lift in recruitment compared to trailing trends upon the launch of PersonalPoints in Q4, recruitment is down versus the prior year on a quarter-to-date basis in 2022 in both workshop and digital. As Nick mentioned, through week 7, end of period subscribers of 4.5 million are up approximately 9% from year-end 2021, which is far below increases we have typically experienced when prior food program innovations. We expect to end the quarter at roughly the same level of approximately 4.5 million, which would result in end of period subscribers at the end of Q1 to be down in the mid to high single digits compared to the prior year and in line with Q1 of 2019, but with a mix of approximately 85% digital. 21:30 Given the year-over-year recruitment declines, plus the lower incoming subscriber headwind from 2021 of approximately $30 million, which has increased from our prior estimate of $25 million, revenue in Q1 is expected to be down year-over-year to approximately $300 million. For Q1, we expect operating income to decline from the prior year, resulting in an adjusted operating loss in the mid to high single digit millions and EPS is expected to be a loss in the range of $0.26 to $0.31. For the balance of the year, we are planning cautiously, as the demand environment has proven to be difficult to predict. If the current trends continue and if there is a normal slope of decline from Q1 to Q4 in subscribers then end of period subscribers revenue and adjusted operating income will be down year-over-year in 2022. 22:38 As Nick mentioned, you can expect in this environment we will be focused on cost management. We have prudently managed costs during times of uncertainty in the past, particularly with the workshop fixed cost structure balancing near-term profitability with driving long-term growth. Given the softer start to the 2022 diet season compared to other food program innovations, we must re-evaluate our cost structure across the board. That work has been ongoing. 23:12 Note that, WW has an attractive profitable business model that generates significant operating cash flow with low capital expenditures. Our recent refinancing has significantly lowered our weighted average cost of debt and mandatory repayments, while our leverage ratio will likely increase in the quarters ahead reducing our leverage and our debt balance remain capital structure priorities for WW. Our executive team and Board are focused on getting the company back on track to profitable growth. 23:23 As Nick mentioned, we are conducting a thorough analysis of all of our business lines assessing the revenue opportunities, cost structure and profitability potential in order to drive performance improvement, profitability and value for shareholders. 24:08 I will now turn the call back to Mindy.
Mindy Grossman: 24:12 Thank you, Amy. As you heard today, the team is focused on managing through the near term and optimizing for the future. The organization is acting with purpose and intense prioritization to drive value for the business, as well as WW members around the world. 24:03 I'd like to thank all our WW employees, including our amazing coaches, our executive committee and our Board of Directors, particularly Ray Debbane and Oprah Winfrey, our partners, investors and our members for all the experiences over my nearly 4.5 years at WW. I will always be part of the WW family and look forward to watching the company's continued journey, successes and positive impact on millions of lives around the world. 25:01 Thank you for joining us today, and we are now happy to take your questions.
Operator: 24:42 We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Greg Badishkanian with Wolfe Research. Please go ahead.
Spencer Hanus: 25:44 Good afternoon. This is Spencer Hanus on for Greg. Can you just unpack this diet season a bit more and comment on how much of the slowdown has been driven by marketing not driving recruitment versus kind of environment or just a generally with dieting. And then should we look at -- look to 2023 diet season as the next opportunity to rebuild subs or could you see an unseasonal bump in recruitment this year?
Mindy Grossman: 26:07 So, we did see sign-up trends in launch of PersonalPoints, but not to the degree that we've seen it in other season. Other thing to note, if you look throughout the year we are planning conservatively because of the environment. But if you recall, Q1 was at a significant high. Started seeing challenges throughout the environment started in Q2. So although traffic and search right now continues to be under pressure, that's the industry wide trend and we're working hard to maximize both retention as well as our performance marketing, which is why you saw a significant increase in our conversion up 15% just for the first 7 weeks of 2022. 27:14 So the marketing messages that ambassadors a resonating, what we are focused on and what the industry as a whole, we need the traffic momentum to pick up, but again, we're circling against softer comps.
Spencer Hanus: 27:37 Got it.
Amy O'Keefe: 27:37 Just to add some color. Mindy is absolutely right. When we launched PersonalPoints back in November, we saw about 27 percentage point lift compared to trailing trends on a year-over-year basis. So we saw the program working, but category demand we’re teasing has been industry wide. We’ve seen pressure in traffic. So for example, in diet programs due in January for example, if you can just look at search, it’s down 20%. So while we are converting well compared to the prior year, it’s just not offsetting the level of pressure that we are getting for the category.
Spencer Hanus: 28:25 Got it. That's helpful. And then how should we think about the size of the cost cutting opportunity in the business? How close can you get back to that 2017 SG&A spend level? And then with marketing, do you see any opportunity to drive greater efficiency out of that line as well?
Mindy Grossman: 28:40 So, I’ll start with SG&A. Spencer, I think it's just too soon to tell, right? We are looking at every opportunity across the board to evaluate the cost structure. As Nick and I both mentioned in the script. So I think, looking forward people we hope to be able to share our plans with Sima as the new CEO transition, and hope to provide you all more color on a later call. As it relates to marketing, I’ll let Nick jump in.
Nick Hotchkin: 29:16 Okay. I think that's right, as you'd expect with we're assessing all areas of our business and you’ve seen our track record of nimbly managing that cost. So from a marketing standpoint, it’s – we are also being nimble getting our messaging right as we head into the spring campaign, responding to our consumer reset learnings and continuing the same very strong work on performance marketing and the conversion gains that we'll be managing.
Mindy Grossman: 29:54 I think one note that, we’ve talked about, conversion as well as retention, but in addition we are seeing sign-ups for longer tenured plan. So over 70% of sign-ups are greater than 6 months versus 50% last year. And we're still seeing a significant number of sign-ups from new members and the mix of lapped and new is fairly consistent and then cancels are down year-on-year. So that really speaks to the strength of the program.
Spencer Hanus: 30:34 Yeah. Got it. Great. Well, thank you so much.
Operator: 30:41 Our next question comes from Lauren Schenk with Morgan Stanley. Please go ahead.
Lauren Schenk: 30:47 Great, thanks for taking my question. I guess, how should we think about the studio footprint and relative opportunity over the medium to long term? I guess is there a scenario where that becomes a very, very small piece of the business? And kind of what would the margin structure of the company look like if that were the case? And then I guess, if this is more macro-driven and perhaps the world goes back to more normal trend in the back half of the year, in that macro backdrop would you expect your subscriber growth to accelerate through the course of the year? I guess what sort of macro changes are you looking towards in order to see the business re-accelerate? Thanks.
Nick Hotchkin: 31:31 I'm talking about the studio business. First of all coaching is just so important for us strategically and that's why during COVID we launched our virtual workshops, as an example. And then in-person and the power of in-person community and accountability is such a hallmark of our competitive differentiation. I’ve been proud of the fact that during COVID we've been able to optimize our footprint, shift the mix of our retail footprint from WW branded studios to more flexible studio, and that -- you've seen that have a strong impact and our margin starting to rebound and we believe we can make studios a 40% margin business. Frankly, as demand for in-person rebounds, we're well positioned with a very flexible footprint and cost structure and still nationwide coverage to be able to serve people in-person once again.
Mindy Grossman: 32:38 Yeah. So the only thing I would add to that. We've made really good progress on taking out fixed cost from the workshop line of business over time. I mean, if you look at our end of period subscriber, at the end of 2021 we are down 42% compared to 2019 and in quarter 4, workshop gross margin were up close to 36%. And so we have been really responsive to managing that cost structure overtime and we will continue to do that.
Lauren Schenk: 32:46 Any comment on the macro?
Mindy Grossman: 33:40 Lauren, we are having a hard time hearing you. Can you repeat that last part?
Lauren Schenk: 33:45 Yeah. Just if we do end up in a world where things truly reopen in the back half of the year, would you expect subscriber trends to accelerate through the course of the year? And I guess just high level, kind of what are some of the macro factors that you're looking at to monitor potentially the re-acceleration of the business?
Mindy Grossman: 34:05Yeah. Laurent, we have been doing constant, both qualitative and quantitative analysis of everything that's happening by market and consumer behavior. To your point, as we start to seeing lift we would hope that we would see further momentum, especially against the comps that we have, but for right now because of the uncertainty we are planning with ruthless prioritization, but on the flip side, we can ramp up very quickly as we see demand increase.
Lauren Schenk: 34:50 Okay, thank you.
Operator: 34:58 Our next question comes from Steph Wissink with Jefferies. Please go ahead.
Stephanie Wissink: 35:04 Thank you. Good afternoon, everyone. I wanted to follow up on just a debriefing or diagnostics and what you learned in November and December and then what changed in January? It sounds like you had a pretty good start to the PersonalPoints program launch, but then something shifted. I’m just trying to understand a little bit more about what you noticed, what you were able to do inter-quarter? And then give us some sense, and maybe just as to Laurent’s prior question, do you have any plans over the course of the next 3 to 6 months to target those cohorts that you think are the most likely to convert or to extend the life cycles of those that are on longer term plans? Thank you.
Mindy Grossman: 35:41 Just to be clear, we saw moment in PersonalPoints throughout November, December, January, not just at historical highs. So significantly up from where we were, so it wasn't like a disruption. Clearly, we did see some disruption if you look at kind of where we are in workshops with kind of increase in Omicron. So I just wanted to level set the PersonalPoints trajectory.
Amy O'Keefe: 35:28 And I agree 100%. So the challenge that we've been having is a category demand. Search and traffic has been down significantly. So while we have seen an increase in demand related to PersonalPoints, it’s coming from a much lower base, right? So that's been our challenge and we haven't seen that getting better or getting worse and as we headed into January. It's been about the same.
Stephanie Wissink: 36:56 Okay, that's helpful. And then just on the workshop, I know you've talked about making those a more variable model, and you talked about the fourth quarter step-up in margins, how do you think about the structural margins of that segment relative to maybe your historic average? And what you think you can achieve to the point of if traffic does start to come back and level out across your digital and your workshop business?
Amy O'Keefe: 37:18 Yeah. So I can start on that one. I mean the moves that we’ve made in the workshop business is really -- first and foremost making sure that all of our members have the opportunity and access for a face to face environment. But what we've been doing is flipping fixed cost structure to a variable cost structure. So moving away from leased spaces that have been more inefficient to more pay as you go model in our – what we call studio app. And so while we got up to about 36% gross margin in Q4 for the workshop business, we – we can absorb leverage a lot more demand in the same fixed cost structure. So while I won't commit to going over the 40% that we were pre-pandemic, we are wells positioned in a more efficient model to get back there as demand returns. In addition to that we also have our virtual workshop model, which has a very low fixed cost structure and a high contribution margin. So I think we are really well positioned as demand begins to return, but as Mindy said before, we continue to plan cautiously. How we're planning the business is not assuming a rebound of demand, but we're well positioned for it when it happen.
Stephanie Wissink: 38:56 Thank you very much.
Operator: 39:04 Our next question comes from Linda Bolton Weiser with D.A. Davidson. Please go ahead.
Linda Bolton Weiser: 39:13 Hi. I think according to my calculation, the services gross margin was actually down year-over-year in the fourth quarter. That seems unusual with the shift toward digital. So is there any particular reason why that gross margin was down in the fourth quarter?
A –Amy O'Keefe: 39:36 Our digital -- So overall, our gross margin in the quarter was up slightly 10 basis point on a year-over-year basis. Digital was just under 80%, at 78% workshop margin improve sequentially. There is nothing specific in there. I mean, it’s still an incredibly strong gross margin in the digital business. We continue -- we've found that economic value is certainly driving demand in this environment, we've been trading that off for couple of things: one, longer term fitness plans and Mindy mentioned this before, over 70% of sign up were on 6 month or for longer, so we couldn't be trading up little bit of margin at increased retention strategy, but overall no significant change there.
Nick Hotchkin: 40:36 And 61% gross margin for the quarter shows the power of the business model.
Linda Bolton Weiser: 40:49 Okay. And then I follow a public company called Medifast, which has the OPTAVIA -- it's a food-based program and they are now bigger than you. So they are the largest publicly traded company in weight loss by revenue. And they are still experiencing strong growth, they expect strong growth here in the first quarter, they had strong growth in the fourth quarter. They are reporting that their consumer research shows that the pandemic has made people aware that health and wellness is important and that people are very focused on that and have -- a certain percentage of Americans have goals to become healthier. So it just seems like there research and the trends that they are kind of reporting are way different than yours. So are you aware of their program? Have you researched it? Like can you just kind of give a little color on what your thoughts are there?
Mindy Grossman: 41:46 Linda, we're very familiar, and again, I can't speak to their research versus our research. It obviously is a different business model in terms of really selling products and food program. But like every other area of competition, we're certainly focused of everyone in the category. But again, I want to be specific, it’s a very different business model.
Linda Bolton Weiser: 42:19 Yeah. That's true. Thank you. And then -- I mean, your new CEO is going to come in and she is going to try to diagnose what the issue is, because as a leader in weight loss one of your objective has to be to drive interest in the category, as well as to maintain or gain market share. So I mean is there -- are you just kind of throwing up your hands and saying, well, we'll just wait for her or is there something that you can do to change things this year in 2022? Or is it really just a 2023 fix would be the earliest that we could see improvement?
Mindy Grossman: 43:06 So to be clear, there is no throwing up our hands. I mean, the team has been very, very focused over the last number of year. If you recall, how we were going into 2020 and if you think about a significant portion of our business, which has been in the Workshops business, was completely shut down. So we're -- we pivoted the model, we built the virtual to be able to balance that as much, continue to invest in our digital assets, our marketing, our data, our commerce, as well as revamping our entire health solutions business. So I would in no way shape or form saying we're just waiting for someone to come in and wave a magic wand. The team is doing a significant amount of work which is what we've been trying to articulate. So we can accelerate our business throughout the year seeing what can do and being able to use the flexibility of our business model.
Linda Bolton Weiser: 44:23 Okay, thank you very much.
Operator: 44:29 Our next question comes from Doug Lane, Lane Research. Please go ahead.
Doug Lane: 44:34 Yes. Hi, good evening everybody. Just I guess my question is, if during this reevaluation process you did decide that you didn't need to be in the studio business. How long and how difficult would it be for you to completely exit that business, if that's what the decision was?
Nick Hotchkin: 44:54 Look, I think that decision is so hard to comprehend because as we've said in-person community and coaching and how that interacts with our leading digital platform and making our digital experience easy and intuitive, we think there is huge value in the combination of in real life experiences with our leading digital platform.
Doug Lane: 45:24 Okay, fair enough. And then the other topic I wanted to talk about was the digital marketing environment, rates are up and there has been a lot of shift in the whole environment and I was just wondering what you're seeing -- what you're seeing with costs, what you're seeing with the shift of how you go to market digitally and how that's impacting your 2022 strategies?
Nick Hotchkin: 45:51 Look, focus on digital performance marketing has been very important as we look to maximize ROI on that marketing spend to make huge strides in ‘21 building global capabilities there. Channel such as paid search and email are working well for us, it revamps our approach to social also. I think the tailwind with looking for, as we've said, in terms of coming out of a very unusual year where people are making fewer New Year's resolution than ever. The tailwind we are looking for is overall category demand lift to bring traffic to our site. In the meantime we're doing all we can to offset that big traffic environment with a strong focus on conversion and getting people to sign up for longer tenured plans at the outset.
Doug Lane: 46:56 Okay. Thanks, Nick.
Mindy Grossman: 47:25 Thank you all for joining us today. I certainly want to recognize all of the WW teams around the world for all their talent, passion and commitment to our brands and our business over the course of my tenure. And I truly believe that the long-term opportunity for WW is significant. Our leadership position in weight management, our science, our attractive business model and unique competitive advantages. And finally, I want to once again welcome Sima. I know she look forward to working with all of you in the future and thank you.
Operator: 48:00 The conference is now concluded. Thank you attending today’s presentation. You may now disconnect.